Juan Cases: Good morning, everyone, and thank you for attending the 2025 Results Call of ACS Group. I'm joined by our Corporate General Manager, Angel Garcia Altozano; and our Chief Financial Officer, Emilio Grande. As usual, after the presentation, we'll host a Q&A session to provide you with any clarification that you may need. Those who are connected via our website can ask their questions through the established channel. So let's start with the first slide of our presentation. In 2025, the group delivered very strong operational and financial results with solid growth in sales, backlog and net profit, backed by robust cash flow generation. We're making solid progress in executing our strategy, increasingly leveraging our global footprint and engineering expertise to drive sustainable growth. We continue to actively pursue highly attractive equity investments opportunities across both traditional and next-generation markets, generating long-term value for all our stakeholders. Let me give another view of the key highlights for the period. Ordinary net profit reached EUR 857 million, up 25.3% or 32.4% FX adjusted, exceeding our top end of our revised guidance. On a reported basis, net profit stood at EUR 950 million. Sales and EBITDA were up by 20% and 20%, respectively, driven by the robust momentum across all our segments. Operating margins improved as well across the group. Net operating cash flow reached EUR 2.2 billion in the last 12 months. This is up EUR 320 million adjusted for factoring variations, highlighting the quality of our profit growth. As a result of this strong cash flow generation, the group achieved a net cash position of EUR 17 million at the end of 2025. This is after allocating EUR 2.1 billion to strategic investments and shareholder remuneration. Strategic investments include EUR 564 million in data center projects, EUR 436 million of the Dornan acquisition and EUR 200 million of the capital contribution to Abertis. In addition, EUR 448 million were allocated to shareholder remuneration. New orders during the year of EUR 62.5 billion, showing an accelerating growth trend up approximately 27% FX adjusted, resulting in a higher book-to-bill ratio of 1.3x. Within the outstanding new orders figure, digital infrastructure represented approximately 28% or EUR 17.6 billion with growth of around 130% year-on-year FX adjusted. The order backlog grew by 14.6% FX adjusted, reaching EUR 92.9 billion, supported by sustained demand in biopharma, defense, critical minerals and data centers. Looking ahead, we remain very confident in the group's outlook and set our ordinary net profit growth target of 20% to 25% for 2026 up to EUR 1.070 billion underpinned by strong fundamentals. Let's take a closer look at the group's consolidated performance for the period. Sales rose by 19.7% to EUR 49.8 billion, driven by the exceptional performance of Turner, which achieved approximately 34% organic growth or 40.3% FX adjusted, particularly supported by digital infrastructure, health care and education projects. This momentum was further enhanced by the integration of Dornan and the full consolidation of this since second quarter of 2024. EBITDA increased by 25% to EUR 3.1 billion, with margin expansions across all segments and at overall group level. Profit before tax amounted to EUR 1.7 billion, up 67.3%. On a comparable basis, PBT grew by 24.8%, particularly fueled by Turner's outperformance and the solid evolution of Flatiron Dragados. We delivered a strong ordinary net profit growth of 25.3% year-on-year on a comparable basis, reaching EUR 857 million, above the top end of our full year guidance. Turning now to the ordinary net profit split. I would like to highlight the following: Turner delivered an outstanding performance with its contribution rising 66.6% to EUR 549 million, driven by the strong growth in high-tech markets and improved margins. CIMIC contributed EUR 199 million, supported by the strong growth in data centers, biopharma, health care and education, but also the natural resources. Engineering & Construction recorded a very strong result, growing 35.7% year-on-year, reflecting a higher contribution from Flatiron Dragados and solid results in HOCHTIEF Europe. Abertis delivered a resilient operational performance during that period despite nonoperational impacts. During the year, the group implemented efficiency measures involving EUR 32 million in restructuring costs, aimed at streamlining operations and unlocking synergies that will enhance performance in the coming years. Slide 5 highlights the group's strong and consistent cash flow generation. Net operating cash flow amounted to EUR 2.2 billion, supported by a robust EBITDA, uplift of 25% and outstanding level of cash conversion. Adjusted for factoring variations, the net operating cash flow increased by EUR 320 million. Building on this, the acceleration of cash flow generation in the fourth quarter further improved the previous quarter last 12 months figure of EUR 2 billion. We reached a net cash position as of December 2025 of EUR 17 million, showing an improvement of EUR 719 million since December 2024. This performance is primarily the result of the group's strong net operating cash flow, facilitating significant strategic capital allocation initiatives. In the period, we have executed EUR 1.7 billion in financial investments, including EUR 564 million in data center projects, EUR 436 million for the Dornan acquisition, EUR 316 million of M&A, EUR 207 million in other net infrastructure equity investments and EUR 200 million for the Abertis capital contribution. Financial divestments of EUR 1 billion, including the 50% sales of UGL Transport, the data center platform 50% divestment and the final settlement of ACS Industrial. Additionally, EUR 448 million of cash were allocated to shareholders' remuneration. Our disciplined approach to capital deployment supports our long-term growth strategy while maintaining a solid financial position. Moving on to Slide 7. Our order backlog stands at an all-time high of EUR 92.9 billion as of December 2025. This growth was underpinned by a very strong order intake of EUR 62.5 billion, up 26.6% FX adjusted, resulting in an improved book-to-bill ratio of 1.3x. This very positive performance reflects the group's continued success in securing high-quality projects across strategic growth markets, particularly in data centers, defense, biopharma, critical minerals and nuclear. Notably, digital infrastructure now accounts for approximately 28% of new orders, up circa 130% year-on-year FX adjusted, driven by the strong sustainable demand in data centers. We're also seeing strong traction in Germany, where positioning allow us to benefit from the country's increased focus on infrastructure investment. New awards in Germany grew by approximately 41% year-on-year, reinforcing our ability to capture opportunities in these key markets. In the following slide, we can see a selection of recent awards. It is worth placing these projects in the broader context of the ACS Group strategy, where we have continued advancing to become a leader in rapidly expanding strategic growth verticals, including artificial intelligence, digital and tech sector, energy, including nuclear, critical minerals and defense. This momentum builds on a long established locally embedded presence in core infrastructure markets in North America, Australia and Europe, which remains the foundation of our competitive strength and our ability to scale into these next-generation markets as a life cycle partner. Let's start with the digital infrastructure and advanced tech sector, where we command a leading position. Growth in the global data center market remains extremely strong. Soaring demand for cloud services and AI is expected to quadruple DC and compute CapEx by 2035, boosted by the growth of generative AI and further cloud migration. The group has the resources and capabilities as a firmly established global end-to-end solutions provider to meet this rising demand. During the period, we have been awarded several new large-scale data center projects. Among these new awards we can find. The announcement of the construction of the 902-megawatt data center complex in Wisconsin, which is part of the $500 billion Stargate program. Most recently, Turner was awarded a role in the delivery of the $10 billion 1-gigawatt data center companies for Meta in India. In Europe, Turner was awarded the construction of a 160-megawatt data center in the Netherlands. This is the result of Turner's expansion strategy into Europe with Dornan executing a project for recurring Turner client. We'll also be building a 58-megawatt data center in Malaysia for a long-standing repeat client. Construction has already started for a data center in Alcal , a joint collaboration with Dragados, Iridium, Turner, ensures with participation in the context of the data center platform. Additionally, we have solid medium-term visibility via our order book and our expanding product pipeline in North America, Europe and Asia Pacific. Energy-related infrastructure represents another strategic growth vector for the group, with structurally rising demand driven by the global energy and security of supply. ACS is strategically positioned across the full energy value chain from generation and storage to transmission and advanced technologies, with strong end-to-end capabilities and global engineering expertise. With several decades of experience designing and building nuclear power plants and complex energy facilities worldwide for leading utilities, the group is well placed to support the deployment of the next-generation technologies, including small modular reactors or SMRs as well as new build storage and decommissioning projects. This positions us in a market expected to exceed EUR 500 billion investment in Europe by 2050. At the beginning of 2026, an important spreading milestone was reached when we were selected as part of the Amentum's global project delivery team for the Rolls-Royce SMR nuclear program. And during the final quarter of 2025, we secured a major nuclear and civil works framework contract worth up to EUR 685 million, lasting up to 15 years involving civil infrastructure works at the Sellafield nuclear site in the U.K. Turning to renewables. We continue to strengthen our market presence, particularly in Australia, where our companies have delivered more than 20 major renewable and storage projects. Reflecting this momentum in new awards, CIMIC subsidiary UGL was selected for the Western Downs Stage 3 Battery project in Queensland, Australia to construct a major renewable energy storage facility with energy storage capacity of 1,220 megawatts hour. Let me turn now to Critical Minerals and Natural Resources, another strategic growth market for us. We're capitalizing on accelerating demand for critical minerals, driven by clean energy technologies, digital infrastructure and defense modernization. Leveraging the combined capabilities of Sedgman and Thiess, we have established a global position in minerals, processing and sustainable mining services across key commodities such as lithium, copper, rare earth, nickel, vanadium, uranium and zinc. In December, the group expanded its partnership with Vulcan Energy through a significant cornerstone equity investment, while securing an end-to-end role in the development of its lithium production and processing infrastructure in Germany. Under the agreement, we have also been appointed as EPCM contractor and named preferred supplier for the project's civil works. In addition, we have been awarded contract by Hindustan Zinc to support the delivery of India's first zinc tailing recycling facility. We're recently awarded the Mount Pleasant operation contract extension in New South Wales, Australia to provide full mining services. Moving now to Defense, where infrastructure investment is expected to increase substantially worldwide. In Europe, major multiyear defense investment plans, including in Germany, present substantial opportunities in defense-related capital works and potentially via the public-private partnership model. And in the U.S. and Australia, governments are also planning major increases in defense spending over the next decade. At the end of 2025, the group's defense backlog stood at EUR 3.5 billion, which included a recently secured involvement in a major 10-year collaborative contract for the German armed forces in Hamburg with a total project value of EUR 1 billion. Our North American civil business, Flatiron Dragados being selected as one of the companies for a 10-year construction contract for the U.S. Air Force Civil Engineering Center. And other projects, including the construction of a major dry dock at Pearl Harbor for the U.S. Navy, works for the Royal Australian Air Force base in Queensland and defense infrastructure upgrades in Australia. In biopharma, health and social infrastructure, we continue to hold in positions with several significant new orders such as: First, the New York Public Health Laboratory, consolidating the largest and most advanced state public health laboratory in the U.S. under one roof, the Regional One Health Hospital campus, a once-in-a-generation investment to expand critical services and strengthen community access to care in Memphis. The Philadelphia arena, including the construction management for the new state-of-the-art arena in the South Philadelphia sports complex. Two major building contracts in Germany, a hospital newbuild project in Flensburg, the first one in Germany using integrated project delivery and a PPP project for a research and administration building in Kiel. Finally, the group is also a global leader in transport and sustainable infrastructure with a very positive outlook driven by several infrastructure stimulus packages. In Australia, we were awarded the Perth Airport, new runway construction as well as the Queensland's Gateway to Bruce upgrade. We secured the I-59, I-40 highway upgrade in Duisburg, Germany. Recently, we won the Battery Park Resiliency project, a $1.7 billion construction in New York. And in Sweden, we secured a EUR 1 billion high-speed rail project under collaborative model delivery, part of the East Link program. Let us now move into the performance by segment. On Slide 10, we begin with Turner, which is delivering exceptional results, consolidating its leadership in strategic sectors. Sales grew by 33.9%, reaching EUR 25.8 billion, mainly driven by organic growth across data center projects as well as solid growth in areas such as health care, education, sports and airports. This solid performance was further supported by the contribution from Dornan, whose exceptional performance was up 70% in the year. Profit before tax increased to EUR 921 million, representing an outstanding increase of more than 61%. This was supported by continued margin expansion of approximately 80 basis points to 3.6%, reflecting Turner's successful strategy, focused on advanced technology projects in line with the group's strategic objectives. Net operating cash flow increased by EUR 523 million to an exceptional EUR 1.2 billion. Net cash as of December '25 was EUR 3.3 billion, up EUR 179 million even after the acquisition of Dornan. Turner's commercial strength are demonstrated by its new orders of EUR 33.6 billion in the year, an increase of 44.2% FX-adjusted driving record order backlog to EUR 37.7 billion. Moving on to our operations in the Asia Pacific region, we turn to CIMIC, where sales registered strong growth in the strategic areas such as advanced technology, health care and defense and were 11.2% higher, supported by the full consolidation of this and despite the winding down of large transport infrastructure projects. EBITDA margins grew by approximately 30 basis points underpinned by strong contribution from high-tech jobs across both UGL and Leighton Asia. Ordinary profit before tax increased by 12.3% year-on-year, FX adjusted to EUR 473 million. Attributable net profit grew by 1.4% FX adjusted year-on-year. Net operating cash flow before factoring grew by EUR 43 million, supporting a strong EUR 366 million net cash improvement, which also includes divestment of 50% of UGL Transport and the data center project. Our order backlog was solid, reaching EUR 21.8 billion, up 6% year-on-year adjusted on a comparable basis. New orders were up 5.6% FX adjusted, with particularly strong growth in data center, defense and critical minerals. Turning now to Engineering & Construction segment on Slide 12. We can see solid growth with consolidated sales increasing 15.1% year-on-year FX adjusted to over EUR 10.6 billion, driven by the strong performance in North America and the robust contributions from both Dragados and HOCHTIEF Engineering & Construction. EBITDA margin increased by 53 basis points to 5.9%, supported by significant contribution from Flatiron Dragados. Ordinary profit before tax grew significantly by 45.2% FX adjusted to EUR 275 million. and a strong cash conversion with net cash position up EUR 118 million. Engineering & Construction backlog rose by 10% FX adjusted to EUR 30.1 billion, reflecting a strong order intake of EUR 13.6 billion with notable momentum in sustainable mobility and transportation infrastructure. Looking ahead, the outlook remains very positive. And as I highlighted, we are particularly well positioned to benefit from the infrastructure investment plan in Germany. Continuing now with the Infrastructure segment on Slide 13. Iridium's increased its sales by 45%, driven by the additional contribution of the A13, the financial close of the SR-400 in Georgia and general positive performance across operating entities. Also, as you might know, we have been recently prequalified for the I-77 in North Carolina. This adds to the previous 2 prequalifications of the I-25 in Georgia and I-24 in Tennessee. Abertis' recurring business showed growth above 6%, although financial contribution was impacted by nonoperating results. Abertis distributed a dividend of approximately EUR 600 million in the second quarter of 2025. In the next slide, we provide for your reference, a breakdown of the invested capital and valuation as of December '25 for the portfolio of all assets in our greenfield platforms. Among others, we are now including the valuation of our stake in the data center platform as well as the average value that research analysts are assigning to our SR-400 project. On the next slide, we take a more detailed look at the Abertis numbers. Traffic grew by 2.1%, supported by a strong performance of heavy vehicle traffic. And we saw strong results particularly in Spain, Chile and France. On a like-for-like basis, the company delivered robust revenue and EBITDA growth of 4.5% and 6.2%, respectively, underpinned by the geographical diversification of the portfolio and inflation-linked tariffs. Regarding portfolio development, as you know, Abertis acquired 51.2% stake in the A63 toll road in France. Additionally, Abertis was awarded a 21-year extension and tariff-adjusted of Fluminense and acquired the remaining 49.9% stake in Tunels de Vallvidrera and Cadi. In Chile, the Santiago-Los Vilos concession began operations. Abertis has improved its liquidity and financial strength with net debt set at EUR 22.7 billion. On Slide 16, we show the breakdown of key figures by country for Abertis portfolio. Next, as we do every year, we dedicate a brief section to reviewing some strategic updates. This slide highlights the progress we are making across our strategic growth verticals, both from a developer and a contractor perspective. We have already discussed many of these key milestones in earlier slides. So let me quickly go over the key points. In digital, we continue leading in data centers. The backlog has grown at circa 70% CAGR over the past 3 years. Some important recent awards include the 1 gigawatt project from Meta in India announced only a few weeks ago. As a developer, 100 of our data center platform sites are now grid-connected with around 80% power supply already secured. We are in advanced negotiations for lease agreements covering 150 megawatts IT in the first instance, and we're targeting to sign the first lease in the first half of the year. In Defense, we are on track to deliver the 2030 revenue ambition of EUR 10 billion, driven by major wins like the German Armed Forces campus and the long-term contract for the U.S. Air Force. We're also seeing strong progress in critical metals. We recently acquired an engineering company in the U.S. Additionally, our participation in Vulcan is another crucial strategic step. Lastly, let me stress again the delivery partner role of our consortium with Amentum on Rolls-Royce Nuclear SMR program. Overall, these wins reflect our decisive progress in reinforcing our end-to-end leadership and leveraging our investment opportunities. On Slide 19, we take a deeper look at the outlook for AI-driven data center growth. ACS is strongly positioned to benefit from rising data center infrastructure investment underpinned by sustained structural demand. Market fundamentals continue to accelerate and hyperscaler demand provides multibillion, multiyear visibility. Our global data center intake has more than doubled in '25, up to EUR 17 billion. And finally, AI evolution is not only strengthening our backlog growth prospects, it's also enhancing our core capabilities and opening new growth avenues for ACS. And before we move to the conclusion, this slide delivers a simple yet powerful message. We have already achieved in 2025, our key 2024 CMD goals for '26, 1 year ahead of schedule. Revenue and NPAT have both reached or exceeded the goals we set for 2026, while the net operating cash flow generated between '24 and '25 exceeds the target set for the full 3-year period. To conclude our review of the full year 2025 results, let me highlight the key achievements of the group. First, we delivered a strong operational performance with sales reaching EUR 49.8 billion, up 19.7% year-on-year and ordinary net profit of EUR 857 million, up 25.3% and exceeding the top end of our guidance. The group demonstrated outstanding cash generation with net operating cash flow of EUR 2.2 billion, which in turn supported net financial investments of EUR 1.7 billion. Our order backlog stands at record high of EUR 92.9 million, underpinned by EUR 62.5 billion in new orders, up 26.9% FX adjusted, including EUR 17.6 billion in digital infra order intake. It's also worth highlighting the progress of our data center development platform, our partnership with BlackRock GIP to develop more than 1.7 gigawatt worldwide was a major milestone that reinforced our leadership in one of the fastest-growing global markets. And finally, we remain confident in our ability to continue executing our proven strategy. For '26, we're setting an ordinary net profit growth target of 20%, 25% up to EUR 1.070 billion. Looking ahead to 2026, we remain focused on our strategic growth markets and disciplined capital allocation. As discussed, we see significant infrastructure investment opportunities and continue to pursue bolt-on acquisitions to strengthen our engineering capabilities and long-term growth prospects. We're well positioned to continue delivering sustainable growth and attractive shareholder returns. Thank you again for joining us today. And now we look forward to your questions.
Luis Prieto: Luis Prieto from Kepler Chevreux. I had 3 questions, if I could, please. The first one is we've seen the share prices of both stocks do beautifully. And I just wanted to ask you, to what extent it would be tempting for you to maybe reduce the stake in Turner through a listing in order to upstream monies and pay for development and investments at ACS level or, for example, do a reduction in the HOCHTIEF stake and with the same purpose and increase investments. The second question, we're seeing the same assets held for sale on the balance sheet in energy. They've been there for a while now. Any updates of how those disposals are evolving and when we should expect outcomes, news? And then finally, referring to one of the things you were commenting before, you have visibility in your order book until some point in 2028, but you make reference to another -- to a pipeline beyond that, which is obviously essential to sustain the valuations and the expectations that you have for earnings in data centers. Can you give us an order of magnitude of that pipeline beyond the order book that you might have over the today to 2030 period?
Juan Cases: Thank you so much, Luis. So let me start. We do not have plans to reduce our shareholding in Turner so far right now or to reduce in HOCHTIEF. And let me take the chance to speak about the way we see the valuation of our share. And I get back to our Investors Day at the end of last year. First of all, we have 2 main businesses, right? The one that is visible through our EBITDA and that's supported by the growth of Turner, our future growth in Germany and HOCHTIEF and the performance of CIMIC. And what we are seeing is 2 main things, without getting into a lot of the details. A Turner that continues growing, a Turner that before 2020 was giving EUR 350 million PBT. And right now this year has delivered EUR 1.45 billion, but with a guidance of up to 30%, which would be around EUR 1.34 million in '26, which we consider very conservative, right? And the reason why we kind of increase is obviously before we are taking into account a lot of the planning, we rely on hyperscalers, we rely on clients, and we are in that planning mode, and we need to land on something before reaching a resolution. And also the U.S. dollars with all our assumptions imply that it will continue to go in the devaluation mode. So that's on the business, right? Now -- so Turner has multiplied by around 3.5x in a few years. But we believe that will continue growing at a very significant path. So not only has grown 70% in U.S. dollars, '25, and we're already giving a guidance of 30%. And we believe that we can double Turner. Now the question is in how many years, but certainly in a reasonable short to medium-term time. Then we do have the multipliers of Turner, right? Turner has a significant portion of its backlog in data centers. We are seeing that our peers in data center space are at more than 30x EBITDA between 20 to more than 30x. Average consensus for Turner is way below that, right? And the rest of the business in Turner goes through semiconductors, batteries, biopharma and other sectors that will continue improving margins. In data centers, we gave a feature for Turner of reaching revenue just in data centers around EUR 25 billion by 2030. So that's a business, right? Then we see Germany growing and defense growing, and we're not including any of these -- the verticals that we're working right now because we do consider that the real value will be seen medium to long term, nuclear, critical metals, et cetera. So we believe on the share and the share valuation. But what the share is not reflecting for obvious reasons is the assets because that's not reflected in the EBITDA. And a lot of what we're doing right now, it's investing in the assets, right? Data center platform, the edge data center platform, additional to the big one with BlackRock, greenfield, Abertis growth and not Abertis growth just inorganic M&A, but the organic M&A and the renegotiation of the contracts that we will provide some visibility this year, right? And then what we're doing in critical metals, industrial energy, et cetera. So we believe that the share will continue to reflect the value of all of this. So right now, we are not taking the view that it's the right time to sell anything basically. Two, asset for sales, I mean, we -- the reality is that there is a combination of facts here, right? One is from an operating net cash flow basis in the Capital Markets Day, we were always talking about approximately EUR 1.5 billion net operating cash flow, post dividend, EUR 600 million in dividends or shareholder remuneration, we had EUR 900 million net for acquisitions, basically or investment. Now that EUR 1.5 billion has ended up being EUR 2.2 billion this year, EUR 2.1 billion last year. So basically, we're talking about EUR 1.4 billion to EUR 1.5 billion firepower per year net of shareholders' remuneration, right? If you multiply that by 5 from now to 2030, there are significant firepower for investments. So there's a strategic piece that we're not so much in a hurry to divest some of the industrial assets. Plus, we want to make sure that they perform in the right way to maximize value, right? So there's a combination of both things. Now your third question was about the pipeline ambition. So you saw on the screen, we are close to EUR 93 billion backlog. Most of our projects, and this has been the real change of strategy in the last 4 years, by moving from being a commodity in construction to being an end-to-end service provider, most of our contracts are not low-price lump sum RFPs. They come at the back of a long negotiating process, design, planning and working with our clients. So there's approximately EUR 25 billion that are not reflected in the backlog, but we are currently working with our clients. Out of the EUR 25 billion, there's EUR 18 billion in Turner, approximately USD 22 billion, at Turner and out of which there's approximately a little bit more than half of it that is data centers. So all of that contribute to our visibility in the medium term and how comfortable we are with our potentially -- I mean our potential guidance that we believe not only at HOCHTIEF, but ACS is conservative, but we need to see how a lot of these projects land and when they do land.
Unknown Analyst: This is [ Salvador Lindse ] from Alantra Equities. The first one is on Turner. I see you reported over EUR 3 billion in net cash. I was just wondering whether Turner needs so much cash to operate? And what would your policy on business cross-financing each other or are you moving cash flow to the headquarters in the future could be just to understand how your reported group net cash position is fully available for investments. And the second question would be on the timing and magnitude of the new cycles. Just wondering whether you see something like defense or nuclear reactors or critical minerals potentially becoming as big as the data center investment cycle is likely going to be? Or if it's just long term, but probably more spaced out and not as big as the current investment is?
Juan Cases: So starting with Turner. The reason why Turner holds so much cash, and we're not taking it out of Turner is we have 2 reasons. The first one is bonding needs, right, in order to operate. I mean, Turner is reaching the USD 30 billion revenues just in the U.S., and that requires bonding and require security and making sure that you have the right collateral indemnity in the U.S. So that is a big driver of keeping that cash in Turner. But obviously, it's -- I mean, above what they need. The other thing is, for us, it's very important that Turner continues growing. And for Turner to continue growing, there's a few strategies that we're going to put in place. The first one is we need to continue adding engineering capabilities to Turner, number one. The good thing is that right now, with AI, you can escalate that very, very fast, but it will require some investments. The other one is the modularization strategy at Turner because that's the future of construction. So there's additional investments that we're going to be doing in that space. So let's preserve the cash because Turner will need some of that for investments to continue to grow. The good thing about Turner is what they have demonstrated with Dornan is that they can multiply it by 3, the value one company in almost a year, right? So we're quite confident that it's a very good place to allocate capital. Your second question was about the new cycle. So let's go through each one of them. Nuclear. Yes, Nuclear will be like data centers, but more long term, right? We are not expecting to see. But if we want to be in the long term and creating another cycle like data centers, we'll need to wait, right? But it's a long term. It's very high tech oriented. You need a lot of engineering and you need to be from the very beginning, developing that part, right? So it's a long term. We won't see anything in the P&L probably in the short term, but certainly, we are creating a lot of value. And nuclear, it's a very important part of the future not just of AI, but in global of energy. Defense. So defense 2 things can happen. The first one is we keep a Defense 1.0, which is basically infrastructure, and we expect that to continue growing, right? The EUR 800 billion of Germany starts being allocated. Last year, they spent EUR 74 billion. 2026, we're expecting EUR 127 billion, but they start allocating. And you start seeing that. I mean, HOCHTIEF has doubled, now tripling backlog and we will continue growing at the back of that. Same thing in Australia. We need to still see how it's going to develop some of the U.K., U.S., Australia initiatives they have in Australia. They are allocating like around EUR 40 billion in the next 5 years. but hasn't been allocated yet. And then we have North America, where we continue. Now Infrastructure 1.0 will not generate a cycle like data centers, right? It will allow us to grow at a very good pace, but it will not be a data center cycle unless we jump into Defense 2.0. And that's something that without getting into the more radical part of defense, but the dual use technology. That's something we're analyzing, and we haven't made any decision yet. It's easy for us as we do the infrastructure and client request for the full integration, not just the civil building component of it, but we're analyzing what to do with that. Critical metals, I do think that it can be a good cycle. I don't dare to say as good as data centers. It pretty much depends on right now, the rare earth initiatives of the U.S., how serious is it, a very important part. A lot of the copper projects in South America that they are going to initiate. So we are going to track. And then obviously, lithium and batteries evolvement, right? So depending on those 3 variables, it can be a very good cycle as well. And right now, we're not seeing that reflect in our balance sheet because it's pure engineering what we're doing at this stage. Once we have engineering that, we jump into the PCM part of it, which is where the revenues and the EBITDA is, not in engineering. So that's what is now reflected in our P&L.
Ãlvaro Navarro: Alvaro Navarro from Bestinver. I have 2 questions. The first one about the dividend policy. After the strong results release and following that HOCHTIEF increase by 26% its dividend. Are you considering to revisit your dividend policy and go up from the around EUR 2 per share right now? And the second one is about this. I think that this year, you have the possibility to execute the put option over the remaining 40%. Is this a possibility? Or are you managing other alternatives?
Juan Cases: Thank you, Alvaro. Starting with the dividend policy. I mean, we're always proud of being a yield plus growth company, right? We offer the 2 of those. The yield because traditionally, we have always had a very good dividend policy traditionally. But in growth because right now, we are in other vertical with high growth and high tech, and we want to make sure that we take advantage of being or becoming a leader in those verticals. That's why we are cautious with the dividend policy. Having said that, it's true. We are growing a lot. And yes, there's cash available. So we haven't landed in any conclusion, but most likely we'll increase our dividend policy up above the EUR 2 per share this year. To how much we are analyzing. On the Thiess, we cannot execute the put until the end of this year 2026, with the cash flow being paid in January '27. If there was an opportunity to acquire in advance, we would take it. But that doesn't depend on us. It depends on our partner.
Unknown Analyst: It's Victor from Investing. Congrats for the results. I have 3 questions. The first one is on CIMIC. When do you expect a revamp on the cash flows at CIMIC after derisking of the backlog? The second one is going to be if you can confirm at the end of the year, a Capital Market Day in order to provide 3 years guidance for the group? And finally, what is your expectations about the data centers to be commissioned in the half of the year in the initial conversations? How do you feel about that?
Juan Cases: Okay. So starting with CIMIC. What's happening in CIMIC, and that's a difference versus North America, Europe and the rest of the geographies is that a lot of the high-tech projects, energy projects, industrial projects are replacing civil and more traditional projects, right? We are building a lot of the additional backlog in Europe on top of the civil that hasn't been reduced -- hasn't been reduced. And in the case of North America, in the case of Turner, residential has disappeared. Commercial office space has gone down significantly in the last 4 years, but the high tech, it's so big and advanced technology, which account right now for 60% of the backlog of Turner, that, I mean, has replaced part of the old market but has exceeded well in advance and above. In the case of CIMIC, New South Wales, Victoria, Queensland has reduced significantly, tremendously the amount of expenditure in transport and civil, right, which were the big jobs. West Gate coming to an end, Cross River Rail coming to an end, all the WestConnex', the North West Rail, the Western Sydney project, all the rail level crossing programs in Victoria and so on and on and on, right? All of them are gone. Each one of these deals were like $5 billion. right? So it's very difficult to replace with transmission line, substations, energy plants, renewables, data centers, all that plant. So the problem is that we are growing and all those areas, CIMIC, UGL, Leighton Asia, they are growing significantly even Thiess, but not to the extent that they can replace those projects. Plus, those projects, they are collaborative. They do not have big advance payments. And right now, we are -- as we finalize those projects, we've been contributing. That 10% advanced payment that we took 5 years ago, we are pretty much spending right now. So you see that winding off cash at CIMIC not being replaced by the new project, right? So that's the issue. Now eventually, those projects will finally be done and which we are not far away. I mean, there's only 2 to go, out of 9, right? So it's a very good position to be. But I mean, so it will happen soon. Will that be in '26 or '27? I mean we'll see. Then on the Capital Markets Day, yes, we're going to have a Capital Markets Day like the one we had in '24, not like the Investor Day we had at the end of last year. We haven't confirmed the date. Don't take me on the month, most likely at the end of October, but not -- but it will be confirmed eventually. And then on Alcal de Henares, I'm going to take the chance to give an update on the data center platform, okay? So Alcal de Henares, which is around 20 megawatts utility like 14, 18 megawatts. That will be commercialized and in operations or at least service to commence operations by -- before the end of the year, Alcal . We will have additional 250 megawatts, before the end of the year, commercialized, probably North America, beginning of construction. And I think that's a reasonable number. And then obviously, that will -- only those once they are commercialized, that will justify in excess of the value of the price paid by our partner for the platform.
Unknown Executive: Thank you. That's time for the questions from the other side. Let's start because some of the analysts and investors that have asked about clarification on the guidance. Regarding the guidance, one is, are we using exchange for dollar stable or devaluation of dollar or what it? And regarding also the guidance, what about the free cash flow? The operating free cash flow has been significantly higher. Marcin Wojtal from BofA is asking us if this EUR 1.5 billion free cash flow per annum could be in the lower side, and we could upgrade that.
Juan Cases: Okay. So on the U.S. dollar revaluation, one of the reasons why our guidance is conservative. One of the reasons is because we are assuming that the U.S. dollar will continue to go south, and that's reflected in our guidance for the year. That's the most logical and unreasonable assumption in this stage. On the free cash flow, we prefer to be prudent when it comes to free cash flow. It's true that we -- in the Capital Markets Day, we spoke about the EUR 1.5 billion that has ended up being EUR 2.1 billion and EUR 2.2 billion, respectively. And if the market continues to grow, I mean, we certainly, those are the kind of levels that we can expect. But all our plan, all our capital allocation, all our firepower is based on EUR 1.5 billion, right, to make sure because we want to have also -- I mean more conservative approach to factoring, to confirming to that, I mean, we want to make sure that we are cautious in keeping our cash flow as clean as possible. So basically, I don't dare to give a forecast about the net operating cash flow. Obviously, growth typically drives a high net operating cash flows. But again, our firepower is based on a lower amount of the EUR 1.5 billion.
Unknown Executive: And regarding that, there are some questions about our capital allocation strategy, especially on the infra assets, particularly Dario Maglione from BNP Paribas is asking us about an update on the status of SR-400, the project the managed lane in Atlanta, but also what is the overview on our capital allocation strategy in this particular assets?
Juan Cases: So I get back to the Investor Day at the end of last year, right? Let's assume that we are able to generate the EUR 1.5 billion. Again, we are way above that at this stage, but all our numbers have been run with that scenario. That post shareholders' remuneration, we would have a net of EUR 900 million. From now to 2030, we multiply by 5, so that's EUR 4.5 billion. And we're still, out of the EUR 3 billion, the 1 -- the EUR 2 billion to EUR 3 billion noncore assets that we could divest that we did announce in 2024 in our Capital Markets Day, we have divested EUR 1.5 billion, there's EUR 1.5 billion left. So all of that comes up to EUR 6 billion. What do we want to do with those EUR 6 billion, right? And there's upside because -- I mean, this year, we had EUR 700 million upside to that amount. First, we want to spend in greenfield projects, managed lanes. So EUR 400 million. We got prequalified in the 25 in Georgia, we got prequalified in I-24 Tennessee. We recently got prequalified in the I-77 in North Carolina. There's 2 projects to go, the 285 West in Georgia, and the other one in Virginia. So that's an important part. The other part is data centers. We have the first platform that we signed with BlackRock GIP. We have the edge data center platform, and we are -- and we do have assets, big assets out of the first platform that we are working on them to secure the power and to pursue commercialization. We're looking at opportunities like in critical metals, like we did in Vulcan in Europe, and other potential opportunities in critical metals but also in the energy space. So I mean, a big part of that is going to greenfield. We have another EUR 1.5 billion that probably will go to M&A. And that M&A could bring Abertis, could bring bolt-on acquisitions for some of the things that I said before to enforce Turner engineering and our capabilities. So we are comfortable in general in the capital allocation.
Unknown Executive: This question from Marcin as well from BofA regarding Abertis. Do you consider Abertis EUR 600 million annual dividend to be sustainable for the next 5 to 10 years? What is your idea on Abertis strategy?
Juan Cases: Abertis is, if everything goes as per the plan, we hope to give a very good picture of the organization. First of all, let's get back to a few numbers of Abertis. Back in 2018, the EBITDA of Abertis was around EUR 3.5 billion, but we lost EUR 1 billion in PPPs that expired, right? So that's basically -- it was EUR 2.5 billion. This year, we have EUR 4.4 billion EBITDA. And our prospects post France, post France are right now between EUR 4.4 billion and EUR 4.9 billion post Sanef? When you look at some of the ratios, and I think we have given some of these ratios in the past, the net debt ratio pretty much versus EBITDA, I think that has gone from 6.6 to 5.2. I think we gave that figure. But our backlog EBITDA versus the net debt has gone up from 3.4 to 5.8, right? So that gives you a view of how we are managing Abertis in the last years. The most important thing in Abertis that there's 3 things going on right now, or 2, the renegotiation of further contracts, and we will give transparency this year, but very important increases of the overall EBITDA of Abertis at the back of these renegotiations and a couple of transactions that we're pursuing with Abertis. We hope that these transactions, the combination of these transactions will give enough visibility not just to the market, but the rating agencies that our FFO versus net debt ratio that has been increasingly from 7 to very high numbers. That is the main restriction to the dividend distribution will be unlocked and we'll get back to normal dividends. And that, yes, will confirm that not only that EUR 600 million is sustainable on time, but we'll have growth to the future and will increase the valuation of Abertis significantly, which right now is like the ugly duck for all the analysts, right? So that will be a nice one eventually.
Unknown Executive: I'll change the topic as Graham Hunt from Jefferies is asking about the environment we have in data centers market, the competitive environment you're encountering as you assess additional data center development opportunities. Are you seeing any difference by region, Europe, Australia, of course, U.S. market? What is our position on that front? How we can be as competitive as we are demonstrating?
Juan Cases: So different answers to this question, which is a very important topic. In general terms, we continue seeing huge investment. And we do see very important investments in CapEx, but more importantly, the hyperscalers because they need to plan the next 3 to 5 years ahead, they are giving a lot of visibility of what's coming. From the EUR 420 billion that were spent in data centers in '24, they are expecting altogether to reach EUR 1.1 trillion per year '29, right? So that's the kind of amount we're talking about in the market. There's pros and cons in terms of competitiveness, right? The pro is that right now, we believe we're more competitive than before because before, we were -- for every 20-megawatt data center, we were competing with 14 consortiums. For the 2 gigawatts to 4 gigawatts, there's no competition, right? There's little competition. it's more open book. It's more about the hyperscalers know exactly the price of these things and what competitive looks like, right? They don't need to put long-term RFPs. That's a waste of time for them. right? So what we need to make sure is we compete against ourselves and what hyperscalers can do, which is the bar, which is a very high bar, by the way, because they have a tremendous capability. They could do it themselves. If they use us or another contractor company is because they can do it in the same way or better than what they can, right? So that competition is that's one factor. On the other side, what we are seeing is that time is of the essence, but every year is more of the essence. So hyperscalers want to see is a huge reduction in the timing of construction of these data centers. So that's why we are investing in modular construction, and that's why we continue to increase the timing and therefore, making us more competitive. In terms of U.S. versus Europe versus Australia, completely different markets. U.S. is dominated by the fact that they use is a superpower in AI, that they are training the models, that they have all kind of data storage and most of the American companies, they rule the world when it comes to data, right? So that's why you're seeing the 2 gigawatts, the 4 gigawatts. Anything you do in the U.S., you commercialize very quick, right? There's a huge, very liquid market for this from hyperscalers but also medium companies, small companies. There's a lot of AI processing inference. There's a lot of AI training. There's a lot of data storage. And there's a race to become the most powerful data storage hyperscaler. Europe is very slow. And Europe is very slow because right now, there's a debate about what a data center can provide. And there's always a mismatch between direct and indirect value. Direct value. There's always a combination of high energy, high water, low employment. Indirectly, every time you have megawatts of AI process interference, or ecosystem, you build a huge ecosystem of start-ups around data center. And some example, like Virginia, when they got to the 2.7, 2.4 gigawatt capacity, I think that they brought -- they created 10,000 new start-ups as a consequence. Even some of the big operations in the U.S. moved into Virginia, but the same thing in other places. Something similar happened in Ireland, that plus tax incentives a few years ago. And you will be seeing that in Europe. So more and more and more countries, they see data centers as strategic national investments. But that takes time to get to that conclusion, right? Plus once you -- so that delays things a little bit, but it will come. Having said that, Europe is not training AI models yet. Europe doesn't have big hyperscalers yet. They are the American ones, mainly investing in Europe. And the power in Europe is very much intervened and has some restrictions, different country to country, but in the same line, right? So that doesn't help to the development of more data centers in the short term. But it will come, not as big, but it certainly will come and the industry will come to Europe. Asia Pacific, we've seen that booming, but obviously, they are not trained -- except China that -- I exclude China for now. They are not training big AI models, and they do not have that storage, but certainly Leighton Asia has been super active. Out of the backlog we currently have, there's like EUR 2 billion just in Asia Pacific without including Australia. And then Australia, it's going slow moving into data centers, but we're seeing progress in the country towards data centers.
Unknown Executive: In that sense, Dario Maglione is asking about the data centers in Spain outlook because he asked that as we plan to have around 800 megawatts of data centers through our JV platform by 2032, how strong is the demand for data centers in Spain? Enough to absorb this amount?
Juan Cases: Potentially, yes. potential, yes. That depends. In Spain, what I do think is going to happen is hyperscalers first will fold their demand with their current development. Once they go beyond that, then they will start asking for additional capacity, and that's where a lot of that excess capacity will be used, on a large scale. I'm not talking about ours. I'm talking about Spain, the countries in general, right? But there's demand for a medium companies that right now, they are not doing their own development, but they are looking for, I mean, megawatts of data centers available. I do think that the restriction is not so much on the demand. The restriction is more on the power. When we speak about AI or inference demand, that's different, right? Because that's a very more unique energy demand. It's not like pure data storage. It's more about inference. It's more about AI processing. I think that, that will take more time in Spain versus the rest of Europe or the U.S.
Unknown Executive: Final question is coming from Filipe Leite from CaixaBank BPI. Regarding the platform, the data centers platform, he has 2 specific questions. One is regarding the commercialization? Any news about the commercialization on data centers for this year? And the second is much more technical. He's asking about why the cash in from the recent agreement with BlackRock GIP, sorry, is lower than the EUR 500 million we announced, which has been accounted for EUR 428 million?
Juan Cases: Okay. I'll start with the first one, and then I will add to this, and I will ask Emilio to add anything he considers. Well, on the first one, I already said before, before 2026, we expect to have in Spain, 14 megawatts IT, which is basically 20 commercialized and built, in the U.S. like 250. And I believe that those could be conservative figures, and then we'll continue adding that every year. When it comes to the platform, I think that is just the inflow versus the outflow net. Emilio, if you want to add?
Emilio Grande: Yes, correct. So the net number was estimated to be EUR 500 million is when we announced the transaction last year. It's slightly below that. The net number, EUR 860 million, minus EUR 400 million something. And the only reason is because of the terms of the agreement and the exact amount of investment as of the date of closing. So that's the gap or the difference between the EUR 500 million and the actual cash in net.
Unknown Executive: Final question is regarding, as you mentioned, we are pursuing some managed lanes opportunities in U.S. Could you clarify why the consortium structure for the different bids are different from what we have been doing in the past? Or why the first? What is the reason that we have different partners?
Juan Cases: No. I mean, we have only 2 consortiums. The main one with Meridiam, Acciona. I mean, we won with them 400 and were prequalified in the 285 and A24 with them in Georgia and Tennessee, respectively. In the case of North Carolina, Kiewit has been a traditional partner of Flatiron in North Carolina. I mean as you know, in terms of macro figures, Kiewit is the largest civil contractor company in the U.S. We are the second largest. But in North Carolina, in particular, we are both very, very strong in the lead positions, and we have been traditional partners. So some of these conversations were back before our consortium with Acciona. So it's just a specific situation in North Carolina.
Unknown Executive: There's no more questions from the web.
Juan Cases: Any further questions? Okay. Excellent. So thank you very much, everyone, for coming and joining on the phone. Look forward to any questions on an ongoing basis with the next days or weeks. Thanks a lot.